Operator: Good day and welcome to the Delek 2021 First Quarter Conference Call. [Operator Instructions] Please note that today's event is being recorded. I would like to turn the conference call over to Mr. Blake Fernandez. Mr. Fernandez, the floor is yours, sir. 
Blake Fernandez: I would like to thank everyone for joining us on today's conference call and webcast to discuss Delek US Holdings' First Quarter of 2021 Financial Results. Joining me on today's call is Uzi Yemin, our Chairman, President and CEO; Reuven Spiegel, EVP and CFO; and Louis Labella, EVP and President of Refining, as well as other members of our management team. The presentation materials used during today's call can be found on the Investor Relations section of the Delek US website.
  As a reminder, this conference call may contain forward-looking statements as the term is defined under federal securities laws. Please see Slide 2 for the safe harbor statement. In addition to reporting financial results in accordance with generally accepted accounting principles, or GAAP, we report certain non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the comparable GAAP results which can be found in the press release, which is posted on the Investor Relations section of our website.
  Our prepared remarks are being made assuming that the earnings release has been reviewed and we are covering less segment and market information than is incorporated into the first quarter press release. On today's call, Reuven will review financial performance, I will cover capitalization and guidance, Louis will cover operations and CapEx, and Uzi will offer a few closing strategic comments. With that, I will turn the call over to Reuven. 
Reuven Spiegel: Thank you, Blake. On an adjusted basis for the first quarter of 2021, Delek US reported a net loss of $125 million or a loss of $1.69 per share compared to a net loss of $119.7 million or a loss of $1.63 per share in the prior year period. Our adjusted EBITDA was a loss of $41 million in the first quarter of 2021 compared to a loss of $19 million in the prior year period. The second paragraph of the press release highlights $21 million of after-tax headwinds or $0.28 per share of items included in adjusted results. Page 9 of the release provides inventory hedging impacts and Page 12 provides other inventory impacts in the quarter.
  I would like to highlight the tax benefit in the quarter was lower than expected due to changes in estimated tax rates for the year. This was primarily driven by the upward revision and internal focusing of performance of full year 2021. While this created a headwind to earnings per share, in the first  quarter, the underlying story is that the macro backdrop was improved relative to our previous outlook.
  On Slide 4, we provide a cash flow waterfall. In the first quarter of 2021, we had a negative cash flow of approximately $34 million from continuing operation, which includes a working capital detriment of $21 million. Cash capital expenditure in the quarter were approximately $67 million. With that, I will turn it over to Blake. 
Blake Fernandez: Thanks, Reuven. Slide 5 highlights our capitalization. We ended the first quarter with $794 million of cash on a consolidated basis and $1.57 billion of net long-term debt. Excluding net debt of Delek Logistics of $970 million, we had net long-term debt of approximately $604 million at March 31, 2021. I would remind you that we expect a federal tax refund of approximately $156 million, of which $136 million is expected to be collected in 2021.
  Moving to Slide 6, we provide second quarter guidance for modeling. Due to improved market conditions, we decided to restart the Krotz Springs Refinery in March, which has been reflected in both cost and throughput guidance. Second quarter operating costs are forecasted to be in the range of $140 million to $150 million. This reflects post turnaround restart costs at Krotz Springs and El Dorado, ongoing freeze-related repairs and expenses, and elevated energy-related costs. We expect expenses to trend lower in the second half of the year compared to the first half. 
  With that, I will turn the call over to Louis to discuss our operations and CapEx. 
Louis Labella: Thanks, Blake. During the first quarter, our total refining system crude oil throughput was approximately 173,000 barrels per day. In the second quarter of 2021, we expect crude oil throughputs to average between 270,000 to 280,000 barrels per day, or approximately 91% utilization at the midpoint. We're currently back to normal operations at all 4 of our refineries. We've completed the Krotz Springs turnaround in March and the El Dorado turnaround in April. We have no major turnaround activities planned for the rest of the year.
  On Slide 7, capital expenditures during the first quarter were $67 million, reflecting the turnarounds at both Krotz Springs and El Dorado. The 2021 capital program is expected to be $175 million to $185 million, including turnarounds and net of estimated insurance proceeds. The increase from the original plan reflects a combination of freeze-related damages, the fire at El Dorado, and the capitalized costs from the Krotz Springs restart. The new capital budget is 25% lower than the 2020 actual spend.  Next, I will turn the call over to Uzi. 
Uzi Yemin: Thank you, Louis and good morning, everybody. We're optimistic about the improvement in refining margins into the second quarter. This provided us an opportunity to restart the Krotz Springs Refinery. With major plant maintenance for the year now complete, we're positioned to run out the elevated utilization rate. Our retail segment continues performing well with record first quarter results. In logistics, we are pleased to announce an exclusive agreement with Baker Hughes, utilizing technology to meet IMO product specs to blending capabilities. I will now turn the call over back to Blake. 
Blake Fernandez: Thanks, Uzi. Before moving to Q&A, we would like to ask that you keep your questions to earnings and the business environment. We appreciate all the support from our shareholders and we will not be making comments with regard to the CVR or proxy contest situation. You can find additional information on the Delek US website under the Investor Relations tab by accessing the link titled Proxy Materials and Shareholder Communication. With that, operator, please open the call for questions. 
Operator: [Operator Instructions] The first question we have will come from Manav Gupta of Credit Suisse. 
Manav Gupta: Uzi, very strong recovery on Krotz Spring. I think the adjusted margin was $6.67 and if you take into account other inventory adjustments and everything, that's almost $10.90. So if you can highlight what drove the positive rate of change and can that continue and what all has been working for you at Krotz Springs Refinery quarter-over-quarter, and this was a major improvement versus last quarter? 
Uzi Yemin: Well, I'm going to let Louis and Blake take the details here, but we told the market in the past that Krotz Springs, we have a way to go around some of the underlying issues. And that's what we did in the first quarter. Also, obviously with the big agreement that will help Krotz in the future. Speaking about the numbers themselves, Blake, I don't know if you want to take it or Louis. 
Blake Fernandez: Yes, Manav, I mean, look, I just want to make sure I'm being clear. Let's set the expectations correct. It's a margin game. So, as you can see, that the costs there are elevated as well. Think about the timing of the startup, which was late March when the margin environment was very strong. And then of course we were selling intermediates throughout. So I don't want to set the expectation that we're going to have an $11 margin there going forward, but obviously we've restarted it with the idea that it would be positive in terms of a margin environment. So let us get another quarter behind us on a full quarter basis and I think you'll see that normalize. 
Manav Gupta: Okay. And the second question, Uzi, I think we have had this conversation, I don't think you are that RIN exposed. You're probably 15%, 20%, 25% RIN exposed, but if you could remind us the numbers. As I understand, you lose out on refining but you make it up in marketing, but what's the net RIN exposure of Delek at this point of time? 
Uzi Yemin: Manav, RINs are [ 150 ], as you know. While in the past, there was no exposure in neither Big Spring nor Taylor and little bit of exposure in El Dorado, obviously Krotz we have exposure, unfortunately there's pressure from the wholesale side to split some of the RIN cost. Now we're not giving away the [ 150 ] obviously, but the customers are pushing pretty hard to get some kind of a discount over the RIN. Now we don't disclose exact number of RINs, but obviously the niche market helps dramatically, but we just need to remember that we talked about listing the thing that we can keep 100% of the RINs in this environment because of the wholesale -- or the wholesalers are demanding some discounts to offset the cost of RIN. You see that in the DKL results in the West Texas how strong the results are because of the RINs, and you see the pressure coming from the wholesalers. 
Manav Gupta: Okay.  Last question, Uzi.  In your markets we know as oil moves up, activity moves up, the demand moves up. So what are you seeing as far as the end market demand for refined products is concerned in your end markets? 
Uzi Yemin: Well we see it immediately in West Texas. West Texas is getting bare. You can see the number of rigs coming up. You see the demand coming up. Retail had a very strong quarter. Second quarter will be very strong as well for retail. So demand is getting there especially when crude oil is $60-something, $63, $64. So for us, if it stays $63, $64, demand will come back.  Now the vaccination obviously helps a lot. You follow these numbers even better than we do, Manav. And I think that we should be optimistic that second part of the year will be bare. One thing, the RINs is a headwind for all of us in the industry. We're trying to mitigate that through the niche market and also through export but in general, the demand, while it was supply side in the past, now demand is picking up. 
Manav Gupta: Congrats on the Krotz turnaround, Uzi. 
Operator: Next we have Ryan Todd of Simmons Energy. 
Ryan Todd: Maybe a follow-up on one of your comments just now about retail. I mean can you talk about some of the local market factors that drove the strength in retail? I mean you guys actually thought fuel margins increased quarter on quarter. Most of your peers saw sequential deterioration in marketing margin. So any thoughts on that and sustainability as you think about moving into the second quarter? 
Uzi Yemin: Yes, we're very proud of retail.  That was part of our discussion over the last 2, 3 quarters, as we said that retail can improve without major investment. And still we are planning to invest more in new stores. If you look at the 3 indicators, same-store sales are up 4.2%, margins -- inside margins are up entire point from 31% now to 32.7%, and also margins are going from 31% to 38% on the fuel side. And second one seems to be another great quarter. So we feel that the step we took 1 year ago, 2 years ago to enhance our stores, the traditional stores, not only the new stores, is coming to fruition and pay dividends. And we expect this to continue. I said it in the past, I think that 2021 will be a record year for retail. I hope I won't be wrong, but I think 2021 will be a record year for retail. 
Ryan Todd: And on the refining side, or I guess as we think about overall kind of use of cash, obviously strong margins, high throughput guidance into the second quarter, demands recovering, I mean as we think about capital allocation and your use of cash, as we see this rebound into the last 3 quarters of the year and with the Krotz restart, how should we think about your priorities for the use of that cash flow? 
Uzi Yemin: As we said, our first priority is to pay down debt and to make sure that the balance sheet is strong enough; then obviously, as we said, resuming the dividend and returning cash to shareholders. But let us get to the point that our free cash flow is coming in on a sustainable basis and then we'll start acting in that regard. 
Ryan Todd: Okay.  Congrats, Uzi. 
Uzi Yemin: Thank you. 
Operator: Next we have Roger Read of Wells Fargo. 
Roger Read: Just curious, you mentioned at the beginning of the call, the tax issue and improved outlook for 2021. I was wondering if you're willing to give us any specifics relative to the initial budget, what improved, and maybe what you see from here that could surprise you a little bit more relative to sort of your baseline budget. 
Reuven Spiegel: It's Reuven. When we originally entered the year, we had obviously a worse forecast as far as margins are concerned, and as the year progressed we had a better outlook for the year. So the first quarter tax rate is really determined by your outlook for the entire year and that fluctuates the number for the first quarter. We don't disclose the forecast, but we definitely can see with the improved margin, better anticipated results than the original budget. 
Uzi Yemin: Yes. I want to give some color to that, Roger. Obviously we started the year with something more than what we see today, and now as we see it, we start to project what can be the tax -- the profitability of the company. That equates to $0.15. If we use 22% or 21%, the normal 21%, 22%, the result would have been better by 50%; so instead of the so-called back 41, it would have been back 26. So if you look at the results of the company, the EBITDA is a beat. The tax rate dragged it down a little bit, but it's something that if we become profitable as margins improve, then that will come back and be offset in the coming quarters. It will be technical, but that just how it currently works. 
Roger Read: Thanks for that. I guess I was just trying to maybe understand was it the fact that you restarted Krotz Springs? Was it margins, particularly for gas or for diesel? Just what the drivers of the improvement were. 
Uzi Yemin: Basically the driver is the outlook for the year. When we started the year, it was a one outlook and now it's a different outlook. 
Operator: And next we have Kalei Akamine of Bank of America. 
Kaleinoheaokealaula Akamine: I want to talk about refining first. So refining obviously turned the corner in the quarter.  Wondering if you can help us understand what the profitability looked like in March as we get a sense of what the 2Q run rate could look like and address whether all the winter storm repairs had been made. And also whether there was any cost in restarting the Krotz Springs refinery. 
Uzi Yemin: Let's go one by one and then Louis will give the technical aspects of it. All the winter storm aspects have been repaired with the exception of one thing, the alky unit at Big Spring, which we expect to start over the next few days. That's obviously enhances the profitability of -- I'm sorry, of Big Spring, not Krotz Springs.  That's in Big Spring. 
  We just completed the turnaround in El Dorado and we are about to be in full rate over the next few days. Krotz Springs is in full rate. Tyler is in full rate and Big Spring is in full rate. So pretty much the winter storm should be -- I hope I am not saying something that I'll regret, but the winter storm effect should be behind us. There will be -- because of the El Dorado turnaround that lasted in the month of April, there will be impact on April from El Dorado, but you should expect basically close to full rate in May, in June. Louis, I don’t know if you want to add anything to that. 
Louis Labella: No. 
Operator: The next question we have will come from Phil Gresh of JPMorgan. 
Phil M. Gresh: I just want to follow up on the OpEx side of things and tying things back to the original guidance of $70 million of OpEx saves this year and 45% of those I think were supposed to come from Krotz Springs if it was going to be down. So just to put a little bit more detail around how you see things progressing with the residual savings. 
Blake Fernandez: Phil, it's Blake. I'll take that. So as you know, in the beginning part of the year, there's a lot of moving pieces in terms of the winter storm impacts in 1Q. And then, of course, in 2Q we have some residual impact in terms of the winter. And then, of course, the fire at El Dorado, post turnaround restarts at Krotz and El Dorado. You see the guidance for 2Q of $140 million to $150 million, what I would suggest to you is if you look at the original guidance, which was back in 3Q of last year, that would suggest something on a per quarter basis of about $130-some-odd million per quarter with Krotz running.
  I think as we kind of move into the second half of the year, I think we're still probably toward that ZIP code, maybe in the high $130 million range. Technically speaking, natural gas prices have moved up a bit. We have some electricity contracts coming up for renegotiation, et cetera. So I think we're still within about 5% of that original guidance.
  So if I'm you, Phil, just again this isn't hard guidance, but from a modeling perspective, something in the upper $130 million per quarter range I think feels about right with Krotz running. So again, I think a little bit lower second half of the year compared to what we were looking at in the first half of the year. 
Phil M. Gresh: Okay, great. That's helpful. The second question, just on retail. Uzi, I think I asked you this one last quarter, so I just thought I'd follow up again. How do you think about the importance of retail to the overall company, the value you could get externally versus obviously the very strong cash flow that is delivering for the company today? 
Uzi Yemin: Phil, we have not changed our mind. Everything is -- should be measured in terms of value. Now, on one hand, we see the retail market being still at, call it, 10, 11x multiple. On the other hand, our EBITDA continues to grow and continues to improve. We are not shy being in the market for retail either way.  As you remember, we sold Mapco at 13x.
   We believe, and I believe, that if even that continues to grow, then we probably want to have a little bit more of that. If there was an offer that reflect the value to somebody else, and it gives us value for the future growth, then we probably -- not probably, we should consider it. So at this point, we are very confident that the EBITDA will continue to grow. And if somebody is willing to pay for that growth, then we're not shy to be in the market. 
Phil M. Gresh: Okay. Very clear. If I could sneak one last one. What would be the future normalized CapEx to be thinking about in light of the higher spend this year?  Just any kind of bottoms-up detail there would be helpful. 
Uzi Yemin: Yes, we've talked about that in the past that the refining sustainable CapEx is -- should be around $100 million, corporate is around $30 million, DKL around $20 million, and the rest is retail. Now, if we decide to build more stores, then every store that we build is $5 million. Sustainable CapEx for retail is $15 million to $20 million. 
Operator: Next one Neil Mehta of Goldman Sachs. 
Carly Davenport: This is Carly on for Neil. Just on the logistics side, could you update us on the progress around Wink to Webster and kind of when we should start to see the contribution ramp there? 
Uzi Yemin: Yes. Wink to Webster is a couple of our projects mentioned will be starting to ramp up. It's already in operation, but starting to ramp up by the end of this year, early the fourth quarter. And, it's a ramp-up period, but as we all know, it's a fully subscribed pipeline, close to 95% subscribed. So in terms of cash flow, strong cash flow starting in 2022, and for sure '23 and '24 as we get 100% -- close to 100% utilization. 
Carly Davenport: That's great.  And then the follow-up is just kind of around the energy transition. Can you talk a little bit about the lower carbon fuel strategy? Are there any updates on considerations around renewable diesel, whether that's at Bakersfield or elsewhere?  And then I guess longer term, if you view the current biodiesel operations as a core part of the portfolio? 
Blake Fernandez: Carly, I'll start on that, it's Blake, and if Uzi wants to follow in. So on the biodiesel part of it, look it's a small part of the portfolio, but at the end of the day it's nice in terms of generating some RINs for us. And at the end of the day, we're exploring a lot of different opportunities. We're a member of the Hydrogen Council. We have a Decarbonization Committee internally that's constantly evaluating opportunities. We have the Bakersfield renewable diesel option. So at the end of the day, we want to participate in the global transition. At this point, we have not committed the substantial amount of capital to anything, which I think has served us well. And we'll continue to explore where we think the best rate of return is going to be. 
Operator: Next we have Paul Sankey of Sankey Research. 
Paul Sankey: Uzi, you've kind of addressed this, but could you just do a top-down on the outlook for your projects. I've slightly lost track of where you're going with the various gathering and placement projects that we're looking at going forward. I heard you on the CapEx outlook. I heard you on the maintenance CapEx. If you could just sort of layer on top of that where you see additional spending over the next couple of years, that would be helpful. 
Uzi Yemin: Paul, great to have you back. I just want to make sure the answer to your question -- are you asking about growth projects or are you asking about something else? 
Paul Sankey: Basically pipes and stuff. Anything big. 
Uzi Yemin: Okay, I got it. So first of all, DKL, the outlook for DKL continues to be very strong with 3 projects that will come to fruition this year. We already spent the vast majority of the CapEx at the Red River expansion, the pay line new shipper, if you will, that starts in May, or already started if you will, and with the Baker Hughes project. These 3 projects are organic growth projects that will give cash flow with not much investment. 
   Now, the threshold for us is obviously much lower now because of what's happening in the marketplace. We don't want to be in a position that we invest based on 7 or 8, 9x EBITDA. We need to be prudent about it. Honestly, the gathering expansions now, the returns are around 4 to 5x EBITDA and we would like to continue to explore that. Our main goal right now is to pay debt and look at opportunities. So I wouldn't expect us to invest hundreds of millions of dollars in gathering and pads in this environment. With that being said, if retail stores continue to perform the way they are, and we are -- the mega stores, we are investing roughly $5 million or $5.5 million and get $1.2 million, $1.3 million EBITDA, we will probably resume that in the future if we decide to stay put with the retail investment. 
Paul Sankey: Got it. And I know you said that you're not going to make any comments on the proxy, but just to make it easy for us, could you, as a matter of fact, just repeat the dates -- the relevant dates for when the deadline for votes is and when we can see some sort of resolution of this situation. 
Blake Fernandez: Paul, it's Blake.  So the shareholder meeting's tomorrow at 1:00 Central Time, so you should have results imminently. 
Operator: And next we'll have Jason Gabelman of Cowen. 
Jason Gabelman: I want to first follow up on the retail strategy moving forward. Clearly, the stores seem to have pretty attractive returns. Can you just discuss -- I think you have a slide on one of your presentations showing the desire to grow these big format stores by 50 to 2025. Is that kind of going to be rateable growth or can you see more of that in the near term, understanding that 2021 will not be a big year of growth to that business? And I have a follow-up. 
Uzi Yemin: Jason, if you remember, when we grew Mapco we build them, we started with 2, then we went to 5, then we went to 10, then we went to 15 and so on. You want to practice, you don't want to break your legs. You want to learn. We build 3 NTIs. They are very successful. So we want to take it slowly, invest in these stores and make sure that we are not -- you learn from each store you build. So, you want to take it slowly and then as you ramp up, all of a sudden you have a whole department looking for good piece of properties. We are efficient in how we build things and efficient how we operate them. So I wouldn't look at it ratably. I look at it as something that we ramp up because we want to learn from our mistakes. 
Jason Gabelman: Okay.  Got it. 
 That's helpful.   And secondly, on shareholder returns, you discussed on last quarter's earnings call that you could explore resuming the buyback program after a few months of positive free cash flow. Certainly with restarting Krotz Springs, it seems like you have an outlook that you will achieve that positive free cash flow in the near term. So can you just discuss the outlook around timing of restarting a shareholder return program? Whether at these levels, you prefer a dividend or buyback; and if it's the former, if that dividend level could be around where it was prior to COVID? 
Uzi Yemin: So the steps we're going to take are first to make sure that -- to shore up the balance sheet and make sure that we -- the balance sheet is getting healthier or healthy and phase out debt. Then the second part is restore the dividends and then the buyback. These are the steps. 
Jason Gabelman: What level of debt are you looking to get back towards? 
Uzi Yemin: Well, it depends on what normalized EBITDA is. Obviously with $16, $17 crack spreads, we do think that everything is great. However, with the RINs eating, what, $6, $7, $8 into that, or $7, then we need to see what happens with the RIN. And then if RINS are dropping, then our confidence level will go higher. So we'll wait to see what the Supreme Court says. We're looking at it very carefully, and let's see what they do and we take it from there. 
Operator: [Operator Instructions] It looks like we have no further questions at this time. Now we'll go ahead and conclude today's question-and-answer session. I would now like to turn the conference back over to the management team for any closing remarks.  Gentlemen. 
Uzi Yemin: I'd like to thank my colleagues around the table. I'd like to thank the Board of Directors for the confidence in us. Obviously I'd like to thank each one of you investors for taking the time to learn about our company and giving us the confidence to run the company the way we think we should run it. But mainly I'd like to thank obviously each employee of this company that make it the great company it is. Have a great day. We'll talk to you soon. Thanks. 
Operator: And we thank you also, sir, and to the rest of the management team for your time also today. Again, the conference call is now concluded. At this time, you may disconnect your lines. Thank you again, everyone. Take care and have a wonderful day.